Aleef Pasha: Good morning, everyone. Welcome to Grameenphone's Earnings Disclosure for the First Quarter of 2023. My name is Aleef Pasha, and I am the Head of Investor Relations. And with me today here are our CEO, Mr. Yasir Azman; and our CFO, Mr. Jens Becker. 
 Please note that the presentation we are sharing, financial statements, along with additional documents are available on our Investor Relations website. You can start posting questions, and we shall address them at the end of the presentation. In case you are unable to post your questions due to technical reasons, please send me an e-mail or a text and we shall address them.
 I will now welcome our CEO, Mr. Yasir Azman, to start our presentation. 
Yasir Azman: Thank you, Mr. Aleef Amir Pasha, and good morning, everyone. Thank you for joining us for our quarter 1 2023 earnings call. I'm Yasir Azman, and I'm the CEO of Grameenphone. I'm very proud to share that Grameenphone had a good start to the year, and we continue to deliver on our commitment to our customers and shareholders.
 I would like to begin with some industry updates and key trends shaping the industry. As reported by our regulator, till March 2023, the telecommunications industry reported 183.9 million subscribers, increasing by 3.7 million subscribers from December 2022. During the same period, mobile data users increased by 1.5 million, reaching to [ 113.1 million ] in March 2023.
 Let me take you through the highlights of the quarter 1. As I mentioned, quarter 1, Grameenphone had a good start to the new year. However, this is a quarter also with several macroeconomic challenges, and a bit of highlight on those; inflation level in Bangladesh continues to increase, reaching 9.3% in March, which was reported by Bangladesh Bank, directly impacting the spending capabilities of our customers and lowering their disposable income.
 The macro economy was under pressure on the back of an increasing and high U.S. dollar rate and depleting foreign exchange reserves. At the same time, electricity prices have increased in 3 tranches during the quarter by 5% each time. However, despite those macroeconomic challenges, we remain committed to further strengthen the #1 network position in Bangladesh with continuous investment, resulting in improved connectivity and mobile experience for our customers.
 Stepping into 2023, we leave a milestone year behind with Grameenphone celebrating its 25 years of service to its customers and empowering societies in Bangladesh. We continue to focus on diversifying our revenue portfolio by creating new streams at the same time, ensuring our customers are [indiscernible] to a wide choice of products and services to fulfill their needs.
 After 2 quarters of declining subscriber base, we have increased our subscriber base and crossed 80 million subscribers. Our focus on digital adaption has enabled us to provide innovative solutions to our customers, resulting in higher recharge transaction through digital channels.
 We have faced challenging macroeconomic environment. However, we continue to grow top line and EBITDA now for an 8th consecutive quarter, reinforcing our commitment to driving sustainable growth and creating long-term value for our shareholders and stakeholders. And at the same time, we believe our growth is directly associated to our customers' digital life stack and prosperity through connected solutions.
 Now I would like to expand a little bit on what I have already mentioned. Our focus on continuous network investment has resulted in significant progress through spectrum and site rollout. We have doubled fiber connectivity from 17% to 35% within just 1 year, and our sites number have crossed 20,000 in total. This lays the foundation for a future ready data network that provides seamless connectivity across Bangladesh, delivering a superior network experience for our customers and building #1 network in the country.
 We have undertaken significant efforts to revamp our product portfolio, streamlining it to make it simpler and more effective for our customers. Our focus on digital adoption has resulted in 31% of year-to-date recharge transactions, demonstrating the growing trend towards digital engagement and more customers.
 Our flagship digital channel, MyGP has become the largest local app in Bangladesh with 14 million customers. We have forged strategic partnership with local companies like bKash and Daraz, as well as global giants like Meta and Google. We have also introduced our industry first OTT platform collaboration pack called [indiscernible], which allows customers to access multiple OTT platforms through a single package. This is to introduce innovation into the market.
 Our ongoing modernization and transformative journey is showing results, benefiting us in building a future fit company with the right mix of competency, capabilities, tools and partnerships and will continue to serve as an enabler for our future growth.
 On 2nd of January 2023 and after 6 months, the regulatory ban on SIM sales was removed after regulators repeated evaluation of GP's network strength and satisfaction. With the resumption of SIM sales, our customers' base has returned to growth, crossing the 80 million milestone. We look forward to receiving continuous support and cooperation from the authorities, as connectivity plays a pivotal role in the digitalization and economic growth of the country.
 On the verbal ruling on 10th January, 2023 regarding the legacy litigation case related to batch rebate on 2G licensing policy, we will wait until we obtain the written [ part ] of this matter.
 Moving on, a bit of talking about empowering societies, which is important for us at Grameenphone, as we believe that our responsibility extends beyond just our business operations. We are deeply committed to driving social impact and making a positive difference in the communities we serve. Our focus has been towards the development of user skills and to ensure all individuals and communities have access to information and connectivity. I'll briefly update on some of our new and existing projects.
 As a part of digital inclusion and enablement, as of 31st March, 2023, Grameenphone is connecting a subscriber base of 80.1 million customers, of whom 43.5 million customers access the Internet and $33.2 million are connected with 4G connectivity, which is up by 15.6%.
 As an equal opportunity employer, diversity and inclusion are imperative in the way we do business. Our diversity agenda broadly includes gender, skills and competence. As of first quarter of 2023, 36.4% of our hires were women, while percentage of women in the total workforce reached up to 19.3%. Empowering society happens when we also empower women. On International Women's Day, we unveiled one of the most recent campaigns, digitALL, our commitment to bring the power of Internet to 2,000 unions across Bangladesh, providing education and resources to empower women in marginalized communities to digital inclusion.
 Our most recent initiative is the online safety for vulnerable groups projects, [ promised ] this year in partnership with Telenor and Plan International. This project aims to train 2.3 million vulnerable groups of people, including women entrepreneurs from the poorest community, street children and bonded labors, on how to stay safe online while utilizing digital tools to improve their lives. We are working closely with the Minister of Social Welfare and the DG of Education Ministry to create localized solution that can help these communities identify and overcome the challenges they face.
 Our future national program to upskill 1 million youth, together with UNDP and BIDA, is well into execution. We have seen continued youth engagement at our online skills development platform, GP Academy that brought academia industry in one platform.
 At this point, I now welcome our Chief Financial Officer, Jens Becker, to take you through our financial performance for the quarter, and I'll come back at the end again. Thank you. 
Jens Becker: Thank you, Azman, and good morning to everybody. So let me start with a short overview of the key KPIs. Grameenphone continued to deliver a solid financial performance in Q1, with 8 consecutive quarters of growth in top line and EBITDA, amidst increasing challenges from inflation, hike in energy prices and diminishing foreign exchange reserves.
 Growth in top line, supported by continued investment efforts to strengthen our network experience through expansion and deployment of new spectrum, resulted in improved connectivity experience for our customers. Besides, GP also continued to maintain growth in EBITDA with a strong margin, despite increased cost pressure from the current macroeconomic situation, supported by the relentless efforts to explore efficiency and become a modern and lean organization.
 Grameenphone registered 2.7% year-on-year growth in subs and traffic revenue for the quarter, while efficient cost management led to maintain an EBITDA margin of 61%. With the continued investment momentum, GP's CapEx to sales ratio, excluding license and lease for the quarter, stood at 13.4%, which was 11.5% in the previous quarter, based on the fourth quarter moving average. On the other hand, on a standalone basis, the CapEx to sales ratio for the quarter stood at 18.5%, which was 13.3% in the previous quarter. EPS for the quarter stood at BDT 5.77 with year-on-year degrowth of 3.7%, mainly due to higher depreciation and amortization, as well as finance costs.
 Starting with details on subscribers; our subscriber base returned to growth momentum after the withdrawal of the SIM sale restrictions at the beginning of Q1. Our sub base at the end of the quarter stood at 80.1 million, with a 1.3% growth from previous quarter and still 4.3% degrowth from last year, while the number of data users decreased by 2.4% year-on-year, reaching 43.5 million.
 Despite of having a year-on-year decline in subscriber base in Q1, Grameenphone's 4G data users continue to increase, reaching 33.2 million with a 15.6% growth from the previous year, based on our constant efforts to improve the performance of the 4G network. According to BTRC published information as of March, GP's subscription market share stood at 43.7%, 4.3 percentage points lower compared to last quarter.
 Turning to next slide, the revenue; Grameenphone delivered 8 consecutive quarters of growth in total revenue and daily subscription and traffic revenue. Total revenue grew by 2.8% in Q1 after 3.5% growth in last quarter. The growth in total revenue was mainly driven by 2.7% growth in daily subscription and traffic revenue, which has been 4.1% in last quarter. The increase in data revenue was the key factor driving the year-on-year growth in subscription and traffic revenue.
 The quarter-on-quarter top line growth momentum was impacted by the usage growth as a result of rising inflation directly affecting consumers' ability to spend and reduce the disposable income, as well as the impact of Ramadan.
 Going further, during the quarter, Grameenphone put significant efforts to revamp its product portfolio to ensure that offerings are more focused and effective meeting the customers' evolving needs. These actions show the dedication to providing customers with high-quality products and services. As a result, Grameenphone delivered year-on-year 14.2% growth in data revenue coming from our higher usage growth. On the other hand, year-on-year degrowth in bundle revenue was primarily caused by the product portfolio simplification.
 Grameenphone continued its value proposition through attractive market offers supported by continuous investments for network expansion, deployment of spectrum and increased fiber connectivity. As a result, GP's average megabyte per user grew by 21.9% from last year and 6% from last quarter. On the other hand, the overall service ARPU increased by 7.5% in Q1 compared to last year and 0.9% compared to last quarter. The year-on-year growth in service revenue was mainly driven by higher contribution from data and voice segments.
 [indiscernible] Grameenphone delivered 8 consecutive quarters of growth in EBITDA, despite a tense macroeconomic situation since second half of last year. Grameenphone's EBITDA increased by 2.7% in Q1, while maintaining a margin of 61%, amidst increased cost pressure from rising inflation and energy costs. The year-on-year growth in EBITDA was driven by the growth in top line and operational efficiency.
 Reported OpEx for the quarter stood at BDT 12.1 billion with a year-on-year 4.9% growth. The year-on-year growth in OpEx was primarily impacted by the hike in electricity and fuel prices and higher revenue share towards the regulator.
 Now turning to investments; GP invested BDT 6.9 billion in CapEx, excluding license lease and ARO during the quarter, focusing mainly towards 4G network coverage expansion and spectrum deployment. [Technical Difficulty] GP rolled out 2,400 plus new 4G sites and more than 1,700 new coverage sites in the last 12 months. At the end of Q1, the number of 4G sites reached 20,103. During the quarter, 4G population coverage reached at 97.9% with the 1 percentage point increase from last year, which has been 96.9%.
 Turning to next page; net profit of the quarter stood at BDT  7.8 billion, with a margin of 20.9%. Year-on-year net profit growth was impacted by the higher depreciation, resulting from spectrum acquisition in last year, impact of new site rollouts and higher finance costs.
 Operating cash flow for the quarter stood at BDT 15.9 billion. Year-on-year, BDT 2.4 billion growth in operating cash flow contributed by BDT 3 billion higher CapEx, partly offset by BD T0.6 billion higher EBITDA. On the other hand, net debt stood at minus BDT 5.8 billion as of Q1 in combination of BDT 3.1 billion short-term bank loans and $8.9 billion cash balance, excluding the restricted cash.
 In terms of the contribution to the National Exchequer, in Q1, GP has paid BDT 24 billion, equaling 64.1% of its total revenue to the National Exchequer in the form of taxes, VAT, duties, license and spectrum assignment fees. And since inception, GP contributed BDT 1,085 billion or BDT 108,472 crores to the National Exchequer.
 I will now hand back to Azman to summarize and wrap up. 
Yasir Azman: Thank you, Jens. In summary, the first quarter of 2023 registered ongoing growth momentum in both revenue and EBITDA, driven by higher ARPU market execution and a strategic focus on investment, to enhance customer experience. We continue to focus on looking towards the needs of our customers through innovation in products and services using advanced capabilities and partnerships, and building future fit competences.
 We remain within a challenging macroeconomic environment, with rising inflation, adverse foreign currency movements and increasing energy prices, which impact the purchasing power of our customers and dampen our top and bottom lines. However, with a strong teamwork, Grameenphone remains committed to delivering value for our customers and shareholders through continued investment and modernizing our different value chain partners and touchpoints that will help us to cater to the constantly evolving connectivity needs of our customers in an efficient and profitable manner.
 I will now hand back to Ali for Q&A. Thank you, everyone. 
Aleef Pasha: Thank you, Azman Bhai. We will now just wait a minute for the questions to come in. I already have some questions that have come in. So the first one is for you, Jens, why is profit lower from last year? 
Jens Becker: Yes. I think I touched this already in the presentation, but the year-on-year net profit growth or negative growth was impacted by the higher depreciation, resulting from the spectrum acquisition in last year and the impact of new site rollouts and higher finance costs. 
Aleef Pasha: Okay. Then we have another one. This one is for Azman Bhai, which Azman Bhai actually already covered. So the question is, are there any updates to the adjustment on 2G case? 
Yasir Azman: There is no -- actually any further update regarding 2G case in this quarter. We're waiting for the written judgment, as I mentioned during my presentation. 
Aleef Pasha: One final question for Jens. We have resumed SIM sales, but why is sub base lower from last year? 
Jens Becker: Yes. The sub base growth was impacted by the SIM sale restrictions during the second half of last year. After withdrawal of the SIM sale restrictions, GP added 1 million subscribers during the quarter, since the beginning of the year. However, currently, we're focusing more on enhancing the value proposition for our customers and strengthening the network position. But anyhow, lower compared to last year, is because last year, in the first half, we still had no SIM sales then, this all came in the second half. And since the withdrawal, we have added 1 million subscribers. 
Aleef Pasha: Thank you, Jens. There are no further questions. Please feel free to reach out to me later, if required by e-mail or text. Thank you, Azman Bhai and Jens, and goodbye. 
Yasir Azman: Thank you, everyone. 
Jens Becker: Thank you.